Operator: Good morning, ladies and gentlemen, and welcome to the INTL FCStone Quarter One Fiscal Year 2020 Earnings Call. [Operator Instructions] I would now like to turn the conference over to your host, Mr. Bill Dunaway, CFO. Please go ahead, sir.
William Dunaway: Good morning. My name is Bill Dunaway. Welcome to our earnings conference call for our fiscal first quarter ended December 31, 2019. After the market closed yesterday, we issued a press release reporting our results for our first fiscal quarter of 2020. This release is available on our website at www.intlfcstone.com, as well as a slide presentation that we will refer to on this call and our discussions of our quarterly results. You will need to sign on to the live webcast, in order to view the presentation. The presentation and an archive of the webcast will also be available on our website after the call's conclusion. Before getting underway, we are required to advise you and all participants should note that the following discussion should be taken in conjunction with the most recent financial statements and notes thereto, as well as the Form 10-Q filed with the SEC. This discussion may contain forward-looking statements within the meaning of the Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. These forward-looking statements involve known and unknown risks and uncertainties, which are detailed in our filings with the SEC. Although the company believes that its forward-looking statements are based upon reasonable assumptions regarding its business and future market conditions, there can be no assurances that the company's actual results will not differ materially from any results expressed or implied by the company's forward-looking statements. The company undertakes no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise. Readers are cautioned that any forward-looking statements are not guarantees of future performance. With that, I will now turn the call over to Sean O'Connor, the company's CEO.
Sean O'Connor: Thanks, Bill. Good morning everyone, and thanks for joining our fiscal 2020 first earnings - first quarter earnings call. The first quarter of fiscal 2020 was a solid quarter for us given the difficult market conditions, which included lower market volatility generally, and the impact of declining short-term rates. Net operating revenues were up 14%, while total expenses were up 20%, which resulted in 10% decline in net income versus a year ago and 11% decline in EPS. This resulted in ROE of 11% below our target of 15%, and also below our run rate for the 2019 fiscal year. This decrease in net income was primarily driven by two factors. Lower volumes on our futures clearing business in line with double-digit declines in industry volumes on the exchange, combined with lower interest income on client assets, as well as the impact of a refocusing of the business following the OptionSellers matter a year ago. Two, increased costs as a result of both acquisitions and organic expansion initiatives undertaken in 2019, which we have discussed in prior earnings calls. These costs were around $8 million for the quarter and accounted for just over 50% of the total cost increase. These initiatives in aggregate were just slightly below break-even, but a significant improvement from earlier quarters as revenues have started to ramp up. We anticipate that these activities will be accretive in aggregate to the bottom line in coming quarters and will enhance the long-term earnings power of the company in the medium term. Looking at our segment results, Commercial Hedging recorded growth in revenues from a year ago, but was down 8% versus the immediately prior quarter. Segment income was up 62%, but that was largely due to the mark-to-market on longer tenor hedge positions executed in the prior year. So not directly comparable. Compared to Q4, segment income was down 20% largely due to the less favorable market conditions I mentioned earlier. Global Payments recorded 2% increase in segment income from the prior year, but was up 29% from the immediately prior Q4. Securities segment income was up slightly from a year ago, but with a big change in product contributions. Equity Capital Markets segment income declined $6 million from its record - all-time record quarter in the prior year. This was more than offset by Debt Capital Markets, which recorded $7.3 million increase in segment income. This demonstrates the benefits of having a diversified product portfolio, something we've worked hard to achieve over the last couple of years. Securities segment income was up an impressive 46% over the immediately preceding fourth quarter. Physical Commodities achieved strong growth in both operating revenue and segment income driven by strong performance in precious metals. Operating revenue was up 61% in the precious area, and in Ag & Energy was up 17%. Segment income was down versus the immediately prior quarter largely due to the $10 million coal recovery recorded in that period. Our Clearing and Execution Services segment income was down primarily for the reasons mentioned earlier, both the lower overall exchange volumes and lower interest rates, as well as the impact of a refocusing of the business. Versus the immediately prior Q4, segment income was down 14%. Bill will be providing more details on all of these numbers and segments later in the call. We continue to see a good cadence of small tuck-in acquisitions, with three being announced recently and one being closed. We are excited by these acquisitions, which continue to enhance our financial platform by adding both capabilities and products, as well as acquiring new client segments. Adding capabilities and clients are both significant objectives in continuing to grow our franchise and becoming more relevant in the markets. In early October, we closed the acquisition of the UOB business in Singapore, something we've mentioned on previous calls. This acquisition provides us with critical mass in the region and the ability to offer - the ability to connect our clients recently with the global markets through our financial platform. In addition, now as one of the top clearing members on the Singapore Exchange, we add yet another trading venue for our global client base. This acquisition was a big lift for us as it required us to upgrade our presence in Singapore to fully regulated clearing member of the Singapore Exchange. We are very pleased with the way the transition went and we are now looking forward to growing the business. In December, we announced we had reached agreement to acquire the brokerage business of Tellimer Group, formerly known as Exotix. This is a well-known and respected franchise specializing and providing institutional investors with access to equity and debt markets in emerging and frontier markets. This transaction provides us with an expanded product capability into these markets, as well as a new and complementary institutional client base. In addition, we now have experienced professionals both in London and Dubai, which provide us with a critical mass on the securities side in both of these areas. In December, we reached agreement to acquire our Tied Agent in Europe, IFCM Commodities, who had been our strategic partners in accessing and serving our European clients. This in combination with our previously mentioned Carl Kliem acquisition, means we now have a fully staffed and licensed EU presence, which will enable us to offer our clients in Europe uninterrupted service post Brexit. We are now in a strong position to capitalize on the changing regulatory environment, which will undoubtedly create opportunities for us to expand our client footprint in Europe. In early January, we reached agreement to acquire the German-based GIROXX. This company provides an online platform for FX hedging and payments, aimed primarily at UE - EU based mid-sized companies. We see a tremendous opportunity to provide the GIROXX clients with a more integrated and expanded payments capability using our Global Payments network, as well as a more comprehensive suite of hedging solutions, not only for foreign exchange, but also for commodities and interest rates. This will allow us to offer a unique digital payments and risk management platform for small and medium size clients. We see this ultimately as a global offering, which should allow us to effectively and efficiently access these mid-sized commercial clients in other year geographic locations and further leverage our financial platform. As we mentioned on our last call, it is now a strategic imperative for us to digitize our financial platform to facilitate easier and more effective engagement from our growing client base, as well as to provide efficient and scalable infrastructure. It is clear in almost every business that digital platform scale exponentially compared to analog platforms. This has been difficult and time-consuming, and has increased our IT costs meaningfully over the last three years, but we believe we have not put the foundational pieces in place and are seeing a good cadence of delivery and use cases. During the quarter, we delivered a significant upgrade of our market intelligence site, which now delivers hundreds of daily pieces of research digitally to all our clients globally in multiple languages. With our recent acquisitions, we continue to expand our market intelligence and research assets, which we can now showcase at one place delivering it seamlessly to all our clients, while tracking usage and seeking our patterns and potential client needs. Also notable that many of our analysts are now achieving industry recognition. We also launched an upgrade to our commercial client portal, My INTL [ph], which now provides real-time client trade reporting across asset classes and across regulatory entities to deliver clients a comprehensive view of the activity with INTL both on derivative exchanges and OTC products. In essence, we are able to deliver our entire financial platform seamlessly to these clients, irrespective of the legal entity, jurisdiction or product they have traded with us. The success we have had recently rolling out some of these technology solutions is a result of an early validation of our data road map that was started three years ago. Given the diverse number of product offerings we have on our financial platform combined with a number of acquisitions we have completed, has resulted in us having a fairly high number of systems of record. Generally, these are industry-standard in system solutions. It is not feasible, practical or cost effective for us to implement an enterprise solution, although we are reducing and consolidating the number of systems where we can. In addition, we have created a central data lake, which extracts data from each of these systems, normalizes it and makes it available for consumption across our platform. This allows for us to effectively and efficiently extract then combined data in multiple ways for clients as we have seen with the My INTL portal, as well as for our support areas like risk, compliance and accounting. The use cases we have launched are validation of this approach and road map, and we are now seeing real benefits to the organization and to our clients. Over the last two years, we've been working to upgrade and simplify our core technology stack. We have more efficiently reformatted on networks to provide better redundancy and latency. We have simplified and consolidated our data centers, created virtual offices, and are now better actively managing and reducing the enormous amounts of data we are required to keep. All of this is now starting to yield tangible benefits in terms of better system performance, as well as reducing and simplifying our footprint with attendant reduced costs. During the quarter, we also launched our algorithmic trading platforms for Canadian stocks that trade in jewel markets. Our ability to integrate multiple market prices and foreign exchange rates ensures best execution for our institutional clients. We have had good adoption in this product as well as our recently launched Algo Wheel, which was launched that about six months ago. So with that, I will hand you over to Bill Dunaway for a discussion of the financial results. Bill?
William Dunaway: Thank you, Sean. I'll be referring to slides and the information we have made available as part of the webcast. Specifically, starting with Slide number 3, which shows our performance over the last five fiscal quarters. The chart depicts our net income, earnings per share and ROE over the last five quarters. As shown, net income in the first quarter of 2020 was $16.3 million, which represents $10.9 million decrease over the immediately preceding quarter, which as Sean noted included the $10 million recovery on the physical coal matter, and $1.9 million decline versus the prior year. Earnings per share were $0.84 per share in the first quarter as compared to $1.40 and $0.94 per share in the immediately preceding and prior year quarters respectively. Moving on to Slide number 4, which represents a bridge between operating revenues for the first quarter of last year to the current period. Operating revenues were $276.8 million in the current period, up $12.1 million or 5% over the prior year. Similar to last quarter, this growth was led by our Securities segment, which added $12.1 million or 18% in operating revenues versus the prior year. Within this segment, Debt Capital Markets had a strong quarter adding $14.1 million in operating revenues versus the prior year, primarily driven by increased activity in our domestic fixed income business, improved performance in Argentina and the acquisition of GMP Securities. Equity Capital Markets when compared to the record prior-year quarter, saw $1.3 million decline in operating revenues versus the prior year as a result of 8% decline in volumes, as well as 13% decline in average revenue per $1,000 traded. Operating revenues increased in our Commercial Hedging segment by $9.9 million versus the prior year to $69.7 million. Exchange traded volumes increased 6%, primarily in the domestic grain markets while OTC volumes increased 19% as a result of increased activity in South American grain market. Prior year OTC revenues were negatively affected by the mark to market decline Sean mentioned earlier. Interest income in this business declined $1.9 million to $5.8 million, driven by lower short-term rates as well as 10% decline in average client equity to $904 million. Physical Commodities increased operating revenues $5.8 million or 41% versus the prior year driven by $4.7 million increase in precious metals operating revenues, as well as $1.1 million increase in Physical Ag & Energy. The increase in precious metals operating revenues was driven by 13% increase in the number of ounces traded. In addition, the prior year quarter included $1.6 million unrealized loss on derivative positions held against inventories carried at the lower of cost or net realizable value, while the current quarter included $600,000 unrealized loss on derivative positions for an incremental increase of $1 million quarter-over-quarter. Our Global Payments segment added $1.7 million in operating revenues versus the prior year to a record $31.4 million as the number of payments made increased 17%. This growth was tempered by a lower average revenue per payment driven by lower number of M&A and capital transaction payments from our international banking clients. Finally, operating revenues in our Clearing and Execution Services segment declined $19.3 million or 20% as compared to the prior year. Within this segment, exchange traded futures and options operating revenues declined $12.5 million as volumes decreased by 12% and the average rate per contract declined 15% versus the prior year. In addition, interest income in the exchange-traded futures and options business declined $2.5 million versus the prior year quarter, as a result of lower short-term rates. In addition, FX Prime Brokerage operating revenues declined $2.5 million versus the prior year as the prior year included $2.7 million settlement received in the Barclays last look matter. Finally, Derivative Voice Brokerage operating revenues declined $4.4 million versus a very strong prior-year quarter. The next slide represents a bridge from the 2019 first quarter pre-tax income of $24.4 million to pretax income of $21.7 million in the current period. Commercial Hedging segment income increased $8.2 million as a result of an increase in operating revenues as non-variable direct expenses were flat with the prior-year period. Our Physical Commodities segment added $1.7 million in segment income versus the prior year as a result of the increase in operating revenues. The prior-year comparable period included $2.4 million recovery on the bad debt on physical coal. Our Securities segment added $700,000 in segment income versus the prior year. This growth in segment income was driven by $7.3 million increase in Debt Capital Markets, which was tempered by $6 million decline in Equity Capital Markets as the result of higher interest expenses related to our securities lending activities and a start-up costs associated with several of our initiatives in this business. Global Payments segment income increased $300,000 to $18.9 million, driven by the operating revenue growth noted earlier, which was partially offset by an increase in fixed compensation and benefits. CES segment income declined $6.6 million versus the prior year as a result of a decline in operating revenues, as well as an increase in non-variable expenses, most notably compensation and market information, as a result of the acquisition of the UOB business. Finally, the net costs in unallocated overhead increased $7 million versus the prior year, of which $800,000 was related to increase in variable compensation and benefits. Non-variable unallocated costs increased $8.7 million versus the prior year, of which $2 million was associated with our recent acquisitions and initiatives. The remaining increase was driven by increased headcount in several administrative departments, as well as higher non-trading technology and support costs related to various IT, client engagement, accounting and human resource systems. Slide number 6 shows the interest and fee income on our investment of client funds in our exchange traded futures and options businesses, as well as the client balances held in our correspondent clearing and independent wealth management businesses. As noted on this slide, our earnings on these balances declined $4.2 million versus the prior year to $13.5 million, as their yield on these balances has declined 48 basis points to 1.72% in the current period due to the effect of the fed actions over the last 12 months. Moving on to Slide number 7, our quarterly financial dashboard. I would just highlight a couple of items of note. Variable expenses represented 57.5% of our total expenses for the quarter, well above our target of keeping more than 50% of our total expenses variable in nature. Non-variable expenses, which are made up of both fixed expenses and bad debt expense increased $17.4 million versus the prior year. Excluding bad debts and the recovery on the bad debt on physical coal, non-variable expenses increased $15.3 million, of which $7.7 million is related to acquisitions, as well as new business initiatives. We reported net income of $16.3 million in the first quarter for 10% return on equity, which was below our stated target of 15%. Our total assets increased 16% versus the prior year, primarily due to increased activity in our domestic fixed income and securities lending activities. Finally, in closing out the review of the quarterly results, our average revenue per employee declined 13% versus the prior year to $538,000 on an annualized basis, but this is a well above the $500,000. And our book value per share increased $4.25 to close out the quarter at $31.89 per share. With that I'll pass it back to Sean to wrap up.
Sean O'Connor: Thanks, Bill. Our strategy is to become the best in class financial platform connecting clients to global markets across asset classes and offering vertically integrated execution and clearing. We help our diverse client base to access market liquidity, manage risk and maximize profits. This is a unique an increasingly valuable platform, which is generally only available from bulge bracket banks and create sticky client relationships. Our platform creates diversified transaction-based revenues, as we drive traffic across our global network, and also generate stable interest earnings on client balances. We will execute our strategy by relentlessly pursuing the following objectives. Increase the value of our financial platform by adding new products, capabilities, and market and liquidity venues for our clients. This can be done either organically or through disciplined acquisition to make up the financial franchise of choice for commercial and institutional clients looking to access markets with efficient execution as well as post-trade clearing settlement and custody services. Second, expand into client segments and geographies where we are underrepresented by acquiring suitable talents recruitment or disciplined acquisition of teams. This requires efficient on-ramps to our financial platform that are both cost effective for us as well as compelling from a client engagement perspective. Three, more tightly integrate our offerings platform and marketing strategy as well as customer experience in order to make the relationship more meaningful for the customer, stickier for the company and more valuable for both of us. Four, increasing digitization of our platform by investing in client-facing technology through an efficient makes a proprietary and industry standard platforms to better leverage our intellectual capital in driving revenue growth and providing customers easier and more efficient access to our products and services. Five, create a scalable execution and clearing infrastructure where cost per transaction are decreasing in absolute terms. Next, maintain a robust environment to dynamically allocate capital and resources to maximize long-term value to shareholders. And lastly, a multi-layered risk management program to ensure that we achieve the best risk adjusted return for our business. We believe that we continue to make good progress on all fronts and are excited about where we stand currently. With that, I would like to turn it back to the operator and see if we have any questions.
Operator: [Operator Instructions]
 :
 :
Sean O'Connor: All right, operator. It doesn't seem like we have any questions at this time. So I would like to thank everyone for participating and we will speak to you again in three months. Thank you.
Operator: That concludes today's conference call. You may now disconnect.